Operator: Greetings. Welcome to the iSun Energy Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to your host, Mary Conway. You may begin.
Mary Conway: Thank you, operator, and good morning. We are pleased to welcome you to iSun's conference call, where we will discuss financial and operating results for the third quarter of 2023. Jeffrey Peck, Chairman and Chief Executive Officer, will provide an update on our operating performance in the quarter, along with our outlook for 2023. John Sullivan, Chief Financial Officer, will provide an overview of the third quarter 2023 financial results. After our prepared remarks today, we will open the lines to address any questions. As a reminder, the earnings release that was released this morning and which can be found on iSun's Investors website at www.isunenergy.com, includes financial disclosures and reconciliations for non-GAAP financial measures. Any comments that we make on today's call may include forward-looking statements that refer to management's expectations or future predictions. These statements are made as of today and management undertakes no obligation to update these forward-looking statements in the future. Such statements are subject to risks and uncertainties that could cause actual results to differ from management's expectations. With that, I will now turn it over to our CEO, Jeff Peck. Jeff?
Jeffrey Peck: Good morning, everyone. Thank you for joining us today. I'm pleased to share an update on iSun's continuing robust progress in the third quarter of 2023 and review our plans and expectations for the remainder of this year. Once again, we are very pleased with the strong performance our team has generated this quarter. In the third quarter of 2023, we have produced another beat on the top line with revenues up 47% year-over-year, nicely above the Street's consensus. Despite some of the macroeconomic challenges in our sector, we continue to do precisely what we said we would do. Scale the business, grow revenues and reduced our losses by focusing on efficiencies while we serve our existing customers and win new business.  Our commercial and industrial group is driving excellent results, and our residential group, SunCommon continues to see high customer satisfaction and referrals despite a short-term slowdown in residential demand, as I'll discuss shortly. Meanwhile, we are seeing continued opportunities in the EV infrastructure segment and our origination team is helping to ensure that we continue to build backlog to sustain that growth.  Our success in winning significant new contracts in solar and EV infrastructure as well as more residential business despite some of the headwinds in that segment provides us with heightened confidence in our ability to meet the annual financial targets that we shared earlier and are affirming today for annual revenue growth and improving profitability. We remain dedicated to executing our strategic plan to achieve our mission to help accelerate the adoption of solar energy.  Today I want to touch on a few points that underscore why iSun is following a different path in the solar energy industry and what has been driving our recent success. I also want to share some thoughts on some trends we are seeing and why we believe we are well positioned for continued growth as we continue to scale our business.  As I said before, it starts with our platform approach, encompassing the full lifecycle of providing solar energy solutions from origination and development to construction and management across business segments. We maintain that this approach is a competitive differentiating advantage that positions us for long-term sustainable growth. We see the proof of the success of the strategy and execution in the meaningful year-over-year revenue growth we have generated this year and on a year-to-date basis. We have increased revenues by 39% compared to the same period in 2022. And as you'll hear us point out repeatedly, we generated this robust growth while reducing our operating expenses over the same period by $5.6 million or 21%.  We're very proud of the success we're having from the efficiency measures that we've implemented. Quickly reviewing our third quarter results, revenue increased by 47% to $27.9 million, and gross margin rose 45 basis points to 19.45%, up from 19% in 2022 third quarter. As our efficiency efforts enabled more of the top line to drop to the bottom line. In the third quarter 30% of our revenues came from the residential segment where gross margins tend to be higher, which added pressure to margin expansion. We remain confident that as we scale and drive synergies and efficiency throughout the organization, our margins will expand even though there will be some variability in any given quarter depending on the revenue mix.  As of September 30, 2023, our total backlog remained at $161.8 million and our pipeline remained at 1.6 gigawatts of projects as of the end of third quarter of 2023. The size of the backlog and pipeline underscore the healthy customer demand we're experiencing as well as the effectiveness of our efforts to originate more projects and expand to more states, all part of our ongoing strategic initiatives. Our success also reflects a high level of customer satisfaction, specifically in the residential segment, which generates strong referrals, creating a lower customer acquisition cost. We see the same positive referral impact in our C&I group. I'll provide some more details about one of our new partnerships with Cleantech industry resources momentarily.  Let me share a few words about the performance of our 3 divisions in the past quarter. The residential division did well despite the backdrop of a more sluggish residential segment across the industry, reflecting the impact of higher interest rates on home improvement loans. The third silver lining here I would note is that the sticker shock consumers had initially experienced when looking at home improvement loans has abated somewhat. People now know what to expect. There continues to be strong interest in residential solar in our markets, and I will note that because we aren't exposed to the California market like most of our peers were somewhat insulated from the additional residential market challenges. We continue to build more business and expect a heavier period of installations in the coming quarter. The commercial and industrial division, which we combined as of the beginning of 2023 has continued to generate very strong results this year and accounted for 67% of our revenue in the third quarter. Our origination team has become more involved in this effort, focused on initiating projects that have then turned over to the C&I division to execute. We are continuing to work through our backlog while adding more business to the backlog through contract wins. Based on the results we've seen thus far, including enhancing our labor utilization and a reduction in operating expenses, as I mentioned, we remain certain that the decision to combine the commercial and industrial segments was a good one. Our utility and development division continue to face delays, once again something we see across the industry. Although we continue to increase the backlog the group is addressing, and we saw small revenue growth in this past quarter compared to prior quarters in 2023. Despite these product delays or unexpected implementation, we continue to believe the projects will move forward beginning late this year, enabling resulting revenues to be recognized later this year or in early 2024. The development and engineering team has provided invaluable support to our residential and C&I divisions as we continue to integrate and drive and operating efficiencies throughout the organization. Beginning in 2024, we will consolidate our utility and development divisions into our commercial and Industrial team. This consolidation will allow us to capitalize on additional synergies and continue to focus on costs, reduction, and containment. Our team has proven expertise and knowledge of the industry, which is incredibly valuable at these volatile times. This creates a strong customer relationship, leading to contract awards across our business. In the third quarter, we added 27 million in new business, bringing our total for the first 9 months of 2023 to $67 million. Despite sector challenges, we've approached our business with relentless innovation, one of our recent partnerships exemplifies this style of operation. Cleantech Industry Resources, or CIR, is a highly automated provider of energy, project development and engineering services. By collaborating, we could focus on expanding our core turnkey EPC business in conjunction with CIR's growing development as a service and engineering services business. By working together, we reduce any conflicts of interest with many of our developer partners. We also can access CIR's ultra-low-cost services at platform on a preferred basis, while retaining construction rights to all of CIR's internally developed and owned projects. Plus, we also secured preferred partner status on CIR's growing pipeline of EPC related projects, which is currently estimated at 5.25 gigawatts. This will fuel our project backlog for years to come. We look forward to sharing more information about this collaboration as we move forward together.  In terms of the solar landscape, we remain optimistic and enthusiastic. As I mentioned, our C&I segment is scaling nicely, responding effectively to increase customer demand with expanded teams while ensuring that our labor utilization is optimized. Customer demand continues to increase across the country directly and through partners. We continue to secure more opportunities to bid on meaningful projects. The residential segment has been sluggish as I described, but our diversified model allows to deploy our internal resources more efficiently across segments during these challenging times. And the good news is that we have ample backlog to execute in this segment and operate in markets insulated by some of the larger headwinds. Our origination team is producing more opportunities that will eventually be executed largely by our C&I segment, and the Utility and Development division continues to push projects forward and provide valuable services throughout the organization.  We remain convinced that both the heightened interest in alternative energy as well as the IRA legislation passed inflation past last year will afford Iceland and the industry genuine benefits. We continue to expect that more specific rules and the removal of uncertainty will increase the value of solar assets, those in development as well as those under construction, which in our case will lead to a higher valuation of our pipeline as it spurs increased demand that we will address in 2024 and beyond.  In 2023, considering all the evolving macroeconomic factors, we have continued to demonstrate strong revenue growth and reduce operating expenses, both of which will help us attain operating profitability in the years ahead and sustain our margin expansion. Thus, we are affirming our expectations for total revenue in fiscal year 2023 of between $95 million and $100 million, reflecting a 24% to 31% increase over the total revenue in 2022, along with gross margin expansion on an annual basis. With that, I'll turn the floor over to John. 
John Sullivan : Thank you, Jeff. We are pleased with the sustained robust revenue growth we produced yet again in the third quarter as we continue to execute on our backlog. I'll provide an overview of our statement of operations as well as provide details on our segments before turning to the balance sheet. iSun reported third quarter 2023 revenue of $27.9 million, up 47% from Q3 2022 revenue of $19 million. For the first 9 months of 2023, revenue was $70.3 million, representing a $19.7 million or a 39% increase over the same period in 2022. Revenue growth in the quarter and year-to-date was driven by effective execution of our commercial and industrial backlog as well as fulfillment of our residential consumer demand.  As Jeff mentioned, in the third quarter of 2023, 30% of our total revenues were in the residential segment, which impacted our margin expectations as historically, 50% of our total revenues were in the residential segment. While we continue to execute against our existing backlog, we also generated new demand and added $27 million in new business during Q3 for a total of $67 million added so far in 2023, effectively replenishing the revenue earned year-to-date. Total backlog was $161.8 I'm as of September 30, 2023. By segment, our Residential division generated revenue of $8.3 million and $24.5 million in the third quarter and year-to-date respectively. Customer orders of approximately $15 million are expected to be completed within 3 to 5 months. Our Commercial and Industrial division which were consolidated as of January 1, 2023 generated revenue of $18.8 million and $44.7 million in the third quarter and year-to-date, respectively. The division has contracted backlog of approximately $140.3 million expected to be completed within 10 to 18 months.  Our Utility and Development division generated $0.9 million and $1.2 million in the third quarter and year-to-date, respectively. The Utility division had the contracted backlog of approximately $6.5 million and 1.6 gigawatts of projects, currently under development expected to achieve NTP in early 2024. Gross profit in the third quarter was $5.4 million, up 50% from 3.6 million in the third quarter of 2022. Gross margin for the quarter was 19.45%, up 45 basis points from 19% in the same period in 2022. Our C&I segment accounted for approximately 67% of the quarter's revenues. Margin improvement reflected efficiencies generated through the consolidation of our teams leading to more efficient utilization of our labor despite the headwind from revenue mix. Year-to-date gross profit was 14.9 million, up 41% compared to 10.5 million during the same period in 2022. Year-to-date gross margin was 21.2%, up 40 basis points compared to 20.8% during the same period in 2022. Margin is expected to remain strong in 2023 as we continue to scale operations and drive efficiencies across segments. Although in any given quarter, revenue mix can cause variability in margin. As part of our ongoing strategy to expand gross margin each year, we will continue to implement synergies and efficiencies as we did this past quarter as our segment revenues grow. The operating loss in the third quarter was 1.8 million, a 3 million or 64% improvement compared to a loss of 4.9 million in 2022 third quarter, primarily reflecting the higher revenues and lower operating expenses as part of the company's focus on efficiency. Year-to-date operating income was a loss of 6.2 million, a 10 million or 62% reduction compared to a loss of 16.2 million during the same period in 2022. Non-cash depreciation and amortization expenses were 0.8 million in the third quarter of 2023, $1 million lower than $1.8 million in prior year period. Year-to-date non-cash depreciation and amortization expenses were $2.3 million, a $3 million reduction from $5.3 million in the same period in 2022. iSun reported a net loss $2.2 million or $0.07 per share in the third quarter of 2023 compared to a net loss of $4.9 million or $0.36 per share in the same period in 2022. Year-to-date net loss was $7.8 million or $0.35 per share compared to a net loss of $13.5 million or $0.98 per share in the same period in 2022. Adjusted EBITDA for the third quarter of 2023 was a loss of $0.5 million or $0.02 per share compared to a loss of $2.5 million or $0.18 per share in 2022's third quarter. Year-to-date adjusted EBITDA was a loss of $2.3 million or $0.10 per share compared to a loss of $5.9 million or $0.43 per share in the same period in 2022. We are continuing to focus our efforts on operational integration and creating systems and processes that allow for efficient and effective growth.  In the third quarter of 2023, we reduced operating expenses by approximately $1.3 million or 15% in the same quarter of 2022, while increasing revenue by 47%. So far in 2023, we have reduced total operating expenses even while our revenues have increased by 39% by $5.6 million or 21%. We expect these positive trends to be sustained throughout the rest of 2023. Now turning to the balance sheet. Total debt decreased $4.2 million to $9.4 million as of September 30, 2023, down from $13.6 million at December 31, 2022, reflecting the ongoing repayment of our long-term debt. Our cash position of $5.5 million as of September 30, 2023 is the same as it was as of December 31, 2022.  Higher revenues and diligent collections have benefited our cash position, although it has been slightly higher at different points this year, reflecting the large project volume currently in process.  As we noted last quarter, we recognized the downward pressure on our valuation from our outstanding convertible note. Our strong operating performance so far this year enabled us to refinance our debt facility. We're delighted to have signed a term sheet for a non-dilutive $8 million term loan that is expected to close at the end of this month. A primary purpose will be to retire the convertible note as well as provide working capital funds.  And with that, I will turn it back over to Jeff. 
Jeffrey Peck : Thank you, John. Let me reiterate how pleased I am with our performance this year. In the face of challenging macroeconomic factors, which have enabled us to continue to exceed the Street's consensus. The growth and strong execution in C&I last quarter offset the pressures we are experiencing in the residential segment, which demonstrates how our diversification is a true advantage.  Our continuing ability to win new contract awards, both through our efforts and through our collaborations and partnerships ensures that we remain well positioned for success as we finish up 2023. Our team is laser focused on what they need to do to execute on the many different opportunities we have created within this continually evolving and dynamic energy market. In addition, we are benefiting from our focus on efficiency, which as John described has enabled us to reduce our operating costs significantly even while we are growing our top line even more substantially.  All-in-all, we continue to execute on our strategy, supported by the investments that we have made to create recurring revenue opportunities as well as the positive impacts from the Inflation Reduction Act. We remain confident the best is yet to come for iSun and our stakeholders.  I'll now turn it back over to the operator to open the lines for questions. Operator?
Operator: [Operator Instructions] Your first question for today is coming from Justin Clare with ROTH MKM.
Justin Clare : So first off, on the term loan here, so you signed a term sheet for a non-dilutive term loan and I was wondering if you could just talk about the use of proceeds. So do you expect to repay all of the outstanding senior secured convertible notes in full. And then also can you share any of the details on the terms for the new loan at this point such as the interest rates? Or do you need to wait for it to close before you can share that information?
John Sullivan: So that the primary use of the proceeds of the new term loan would be to retire the convertible in full. We anticipate that that closing will happen towards the end of November, maybe 1st week of December, just given the holidays. What that will do is improve our working capital position by approximately $6 million at the time of closing. In terms of the actual terms, I think we need to wait until we finalize that, but we anticipate that to be done here in the next couple of weeks.
Justin Clare : And then I was wondering if you could just talk about the demand that you're seeing for the residential segment versus the C&I segment here. It looks like the rise in interest rates is having a greater impact on residential versus C&I. I was wondering if you could talk to why that may be? Like do you give us what explains the resilience of C&I demand in the current environment?
Jeffrey Peck: One of the things that we're seeing with the consumer is just a little bit of sticker shock on the rates connected with the loan, oftentimes they're going out for home equity loans and they're used to borrowing at rates 3% and 4% level. And so I think what we saw early on as interest rates rose is just thicker shock. We have seen since August a pickup in residential demand, and so we think that some of that sticker shock is abating a bit. On the commercial side, these projects take a much longer time to develop and get to NTP to construct. And so, there's a lot of dollars spent and a lot of the process and interconnection queue, et cetera, has been done by that point, and so, likely what's happening is projects are moving the floor and there's hopefully for some of them, opportunities to refinance in forward years as interest rates go down or buy the interest rates down. I would imagine that the provisions within the IRA have also helped, create additional value within some of those projects that potentially offset the increased interest rates.
Justin Clare : And then I guess is do you have a sense for is there a risk that some of the projects may fall out of the backlog if the economics may have been challenged somewhat by the higher interest rates or do they still seem to Pencil and still, you expect them to move to all move forward here?
Jeffrey Peck: I mean, I would imagine going forward that is a possibility. We haven't seen that yet. Again, I think some of the provisions within the IRA have helped, support the value of the of the C&I projects, to date. So we haven't seen that as of yet. 
Justin Clare: And then maybe just shifting to the utility business. You have 1.6 gigawatts under development, I think in early 2024, is it all of that 1.6 could reach NTP? At which point would you essentially begin work? And then, just wondering what the construction time frame is? Is it something like 9 months to a year at this point for much of those assets? 
John Sullivan: Yes, there's multiple projects within that 1.6 gigawatts. Some of that timing is a little bit difficult to predict, which is why we're giving the guidance that we are. On the timing to construct, about a year. For most of these, it's likely the time frame. 
Operator: Your next question for today is coming from Jeff Grampp with Alliance Global Partners.
Jeff Grampp: I was hoping to get an update on the some of the synergy consolidation efforts that you guys have talked about. Would you guys consider how is the heavy lifting for those efforts kind of largely complete at this point and reflected in the current cost structure for iSun? Or do you guys think there's still additional progress to be made in that regard? 
John Sullivan: This is John here. Thanks for joining us this morning. So we definitely have made some major strides in the cost consolidation and driving those synergies through the different organizations. I think that is a part of our continuous improvement mantra that we like to drive through the different organizations. We'll continue that progress here in the Q4 and into 2024 as well. We do think that there is still some significant revenue growth that can be realized at the top of our overhead structure. And as we drive more efficiencies through systems and processes, I believe we'll do some additional overhead savings in the future as well. 
Jeff Grampp: And, a follow-up is a question on the residential side. And I think, Jeff, you mentioned the high referral rates and how that's been a positive impact for acquisition costs. Is there any kind of, I guess, qualitative or quantitative update you can provide in terms of where acquisition costs have trended recently, and any referral rate metrics you could reference would be helpful too?
Jeffrey Peck: Yes, we're still seeing a really competitive customer acquisition cost in that $0.35 to $0.40 range. Certainly, our existing customer base provides a high percentage of referrals in that 50% to 65% range, depending on the quarter. And as I said earlier, what we have seen is, really since August, an uptick in demand from the residential space. We operate in areas where the cost per power's somewhat higher than other areas. So, as people digest and get used to the higher interest rates, they're coming back and seeing the value of solar on their roof, so we've seen a nice pickup in demand really consistently since August. 
Jeff Grampp: And if I can sneak one more in just on that last topic. In years past, there's typically been kind of this cliff in terms of the tax credits on the residential side, with the IRA providing a little bit more certainty in a longer timeline, you could argue there's less of a rush to get something done in any given calendar year. Are you guys seeing any impact to kind of maybe smooth out some of that kind of year-end rush or is that still a dynamic that you guys are seeing thus far? Understanding we still have a little bit of time left in the year?
Jeffrey Peck: Yes. I don't think it's as critical as we've seen in previous years. Certainly, from a revenue mix, we'd always been sort of that 30%, 70% first half, second half. That will probably moderate some to a 40%, 60%, just based on some of that lack of rushing for the tax equity at year-end. So likely some small impacts, but really in a positive way to better smooth revenue throughout the year.
Operator: Your next question for today is coming from Sameer Joshi with H.C. Wainwright.
Sameer Joshi : Just a little bit granularity on the sequential adjusted EBITDA improvement that you're expecting. Should we see improved gross margin or further synergies from OpEx or both that could contribute to this adjusted EBITDA improvement?
John Sullivan: So we do anticipate some additional margin enhancements as we drive those synergies. What we've done throughout the year and look to consolidate our installation teams more appropriately, and what that allows us to do is to flex and disperse labor in a much more efficient way. So we do anticipate that improvement to continue as we close out this year and into 2024 as we continue to find, strong ways of working together. In addition, we do expect to stabilize and focus on cost containment in our overhead structure and drive some additional synergies there as we continue to make the process improvements through the organizations.
Sameer Joshi : And in terms of C&I customers, I know you answered a couple of questions on that. Given that the backlog has remained stable and you generated the lion's share of your revenues from that sector. Can you help us understand what helped that growth? Is there any geography specificity or any particular industry to vertical within this sector that is coming? Or is it just the same broad based? And as Jeff alluded to, these are longer term projects and these customers expect to refinance the current higher rates at the lower rates later?
Jeffrey Peck: Yes. As far as the geographies go, the bulk of our work is in what I would consider the Northern New England Belk, Vermont, New Hampshire, Maine, some also throughout the East Coast. And we have some long-term relationship with various customers who continue to expand and add to their portfolio. So we believe we'll continue to see nice project flow in C&I in those territories and throughout other territories as their customer expand where they own their assets as well.
Sameer Joshi : And then the last one, can you just talk a little bit more about the CIR relationship and where, in what areas would you see synergies and increased revenues as a result? 
Jeffrey Peck: Yes. Our partnership and our collaboration with CIR is really to continue to fill that pipeline through relationships and partnerships and collaborations. They're working on origination and early design and engineering with many companies all over the country. And with our relationship with them, we have both a preferred status on engineering support as well as access to their portfolio of projects that they're working on and their customers for construction rights to build those. So, we are excited about that. We think that as we approach companies and enter into partnerships and agreements, it's really with the mindset of growing a long-term business. And this relationship will really help swell our pipeline, which will turn into larger backlogs and more projects and more project opportunities in the years ahead for us. 
Operator: We have reached the end of the question-and-answer session and I will now turn the call over to Jeff for closing remarks. 
Jeffrey Peck : Thank you, everyone, for joining our call today. We appreciate your time to hear about the progress and performance. If you have any questions, please reach out to ir@isunenergy.com. Thank you, and have a great day. 
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.